Christel Bories: Good morning, everyone. Thank you for being here today for the presentation of our results for financial 2019 and a presentation of our 2020 accounts. We are presenting contrasted results. We've achieved significant results in terms of our strategic road map. We have extraordinary operational performance in our minds, but we've faced some very harsh headwinds, in particular, the drop in manganese prices and a negative impact from the Aubert & Duval logistics issues. So I'll start with our strategic road map. We have, indeed, made significant progress in the implementation of this strategic and operational road map. Our intrinsic performance has improved. As you can see from this slide, we have broken production records in all our mines, gone beyond the objectives we set ourselves. We produced over 4.8 million tonnes of manganese in Gabon, that's 10% against last year or a 15% increase over 2 years. We have also beaten all our production records for nickel in New Caledonia and exported 1.6 million tonnes, which is a significant amount, plus 30% against last year or plus 80% over 2 years. And we've also done better than our aims in mineral sands at GCO in terms of production of mineral sands concentrate. You know that the SLN is undergoing a rescue plan. It was cash positive in the second half. That is the result of a reduction of the cash cost over H2 versus H1 following the introduction of a new business model, but also more favorable price conditions. This excellent performance went hand-in-hand with a deeper CSR approach, very good results. We're ahead of the CSR road map that we presented last year. In 2019, we were in excess of the targets we'd set ourselves. We also see a significant drop in accidents. We slashed our accidents by half, and I will give more details about that later. As for the strategic road map itself, Weda Bay has now started up. Mining operations began in Q4 of last year. So production of NPI should start in the weeks to come. Organic growth is continuing in Gabon. We're also debottlenecking production in Senegal. As for the lithium project, it was rolled out according to plan. We now have a pilot plant on site. It is producing very good results, which are absolutely in line with the industrial pilots that we had run at our research center. However, and I'll get back to that later, we do not have the conditions required to actually go operational. So we've decided to put the project on hold until such conditions are met. So significant progress, which is achieved in a quickly declining context in terms of manganese prices, you see here the impact of this price decline, both concerning the ore and alloys. The impact was quite significant, over 268 million impact on our EBITDA compared to 2018. So we have a deteriorating context as well as 2 one-off, but significant events. First of all, Aubert & Duval one-off events with the introduction of quality process to deal with quality issues, but this led to an increase in cost. The impact on EBITDA was about €50 million and €160 million in terms of complete cash effect. We also had exceptional payments to -- in Gabon, Thomas will detail this later, €114 million had to be paid out. So, I mentioned the deteriorating context, but that was exacerbated by these extraordinary one-off events, and our net earnings figure is down for 2019. So, let's look at overall figures. Sales declined by 4%, down to €3.671 billion. Our EBITDA is in line with our guidance, stabilized at €630 million. That's down 25%, so compared to 2018. Our current operating income stood at 341 million. I mentioned the number of one-offs as nonrecurring elements, this has brought our net debt down. It is negative by €184 million. That's net income group share, sorry. And net debt, given these impacts, too rose to €1.207 billion, excluding the IFRS 16 impact, which amounts to roughly €100 million. So for the year, return on capital employed stood at 12%, and our gearing ratio, excluding IFRS, stood at 74%. So let's start this presentation with a chapter on safety. As that is one of our basic values, one of our top most priorities. The situation -- the starting situation was deplorable in terms of accidents, and we have made huge progress over the years. Accelerating the pace these past few years, we've reduced accidents by further 35% in 2019 against 2018, slashing this by half over 2 years. Our frequency rate, TF2, which includes employees and subcontractors was at 11% a few years ago, and it is at 5.4% today. I think that this really illustrates -- demonstrate our commitment to safety, which is a top priority for us. We are focusing our efforts on bringing the rate of serious accidents down even further because, unfortunately, we experienced 4 fatalities last year, Including one -- one of which was a subcontractor. There was a train accident suffered by the Setrag, but we want to improve our performance in terms of serious accidents, namely by rolling out the essential safety requirements. That will be our big push in 2020. I'm now going to hand over to our Chief Financial Officer, Thomas Devedjian, who's going to present the financial results, and I'll be back to talk about operational performance, operational results and the implementation of our strategic road map. Over to you, Thomas.
Thomas Devedjian: Thank you very much, Christel, and good morning, everyone. Here are our financial figures. First of all, our sales went down 4%, EBITDA went down 25% to €630 million. The main impact was, of course, manganese prices, manganese commodity prices. And net income group share, I'll detail that later, that is negative at minus €184 million if we include the impact of IFRS 16. So long-term leases being included, net debt is €1.304 billion. Take away the €100 million-or-so, that's €1.207 billion in terms of debt. Now let's look at the net income group share more in detail. A number of nonrecurring events came in affecting the High Performance Alloys division and our taxes. So 184, correction, €114 million is the effect of nonrecurring items. We also have an additional provision of €15 billion for the management of the quality issues, adding to the €65 million provision last year and an impairment on ERASTEEL. ERASTEEL having been subjected to a very difficult market deteriorated market last year, so impairment of €25 million was necessary by this. The financial result, minus €134 million, the increase or the deepening is owed to 2 factors. First of all, we rebought part of our 2020 bond after an issuance of €300 million last year, so we bought back about half of that. And the premium impacted the result by about €10 million. Additionally, we incorporated TiZir 100% over 2019. But remember that it was integrated only up to 50% for 2018. So the TiZir kind of includes a €300 million debt and a high coupon, 9.5%, which we are taking on to the rate of 100%. Tax. €227 million in taxes, including €147 million in taxes paid to the Gabonese state, €90 million, which is corporate tax and about €40 million, which are tax adjustments, and I will talk about that. All of the business units in mining and metals contributed positively to our EBITDA this year, which was not the case last year. So, the nickel business unit contributed the EBITDA to the tune of over €38 million as against minus €18 million last year. So SLN, €59 million, that's the contribution. And SLN started generating cash over the second half that hadn't happened in many years and for Sandouville, EBITDA minus €21 million. The manganese business unit. Despite the drop, the decline in prices, this BU still the main contributor to EBITDA, 89% of the group's EBITDA, so which is more than significant. Mineral sands posted very good performance this year, both operationally and in terms of price hikes. Titanium dioxide and zircon prices went up. So we have an EBITDA that is greater than €100 million in mineral sands. And it's really the contribution of High Performance Alloys, that division, which is disappointing, negative contribution. Whereas, last year, they contributed 46% to EBITDA. So minus €26 million this year. That's minus €27 million for ERASTEEL, whose market collapsed, the bottom fell out of that market owing to drops in sales and drops in volumes of about 1/3 and Aubert & Duval with an EBITDA that is close to even breaking, to breakeven. We are sensitive to metal commodity prices. If you compare the situation this year to last year's, sensitivity to manganese prices has increased. We're more sensitive, and that is because we increased the volumes we produce. So mathematically, that increases our vulnerability $1 per dmtu plus or minus represents a plus or minus €150 million in EBITDA. Manganese alloy prices, $100 per tonne variation represents €70 million. And nickel prices, a variation in $1 per pound, that corresponds to an impact of €110 million. So we are highly vulnerable. We added nickel ore prices since starting this year. This has started to represent an important contribution to EBITDA. And we have an export plant for nickel ore. If the price of nickel ore goes up by $10 a tonne, this adds $20 million to EBITDA. We are also vulnerable to the exchange rate of the dollar to the euro. So 0.1 variation induces a variation of €135 million in EBITDA. So let's look at operating performance in 2019. First of all, internal performance, about €40 million, we have high contributors: manganese volumes over €100 million; a loss at Sandouville, which also had a big impact, but on the, at the opposite, we have negative impacts. We have, indeed, increased production at SLN. However, there were mine problems; there were blockages, of course, which brought the production at Doniambo down. So production there was down and stood at 47 million tonnes, which represents quite a significant drop against 2018. In Concorde. Concorde is posting good operating performance. There's also an increase in prices. However, we're suffering from lower contents in our ore. But this was planned for. This was forecast and the volumes consequently are down. Then for COMILOG, mined volumes are up. However, these additional volumes had to be shipped, transported, and that led to excess transport costs, which cost us more proportionally than what we usually paid for, so about €30 million more. Add to that, the logistics issue at Aubert & Duval for a value of €36 million, this is to be added to the impact from the previous year, so totaling €40 million, as we mentioned. External factors also played. For example, the 21% drop in the price of manganese, also the drop in the price of manganese alloys and the increase in the cost of our input, so wages; the purchase of manganese ore for our alloy plants in South Africa, we need to buy additional ore; the extra cost at Doniambo; cost of coking coal; transport cost to get the mineral out to our customers. But the dollar also went up, that brought in a positive effect of €60 million. Our investments went up by about 51% this year, 230 million in maintenance productivity and safety environment investments, that's all on par with previous years. We also did the first capital expenditures for our big projects, the extension of the Moanda mine and the investments in the lithium project, that was worth €80 million. And also some growth CapEx, mostly, the renovation of the Transgabonese railway line, which is vital if we want to ship our ore to the ports, to the coast. Let's look at our net debt and how it has varied. It is up about €500 million. Let's look at a few factors. First of all, the Gabon expansion lithium projects for about 130 million; the A&D logistics issues about 60 million, 50 million in the EBITDA, 18 million in the excess inventory and additional 1 million spent on managing the crisis. That's a nonrecurring effect, but it's very important. There's also exceptional payments related to tax adjustment in Gabon for the 2014-2017 period. After the tax inspection, we accepted paying an advance payment -- make an advance payment of corporate income tax for 2019 fiscal year, which we should have paid next year. The advance payment was €71 million and the tax adjustment itself represented €43 million. There's also the impact of dividends paid to ERAMET shareholders in 2019, about €20 million, and more significantly, the dividends paid to COMILOG. So ERAMET received most of that, but also minority shareholders who received €86 million. Cash. Our liquidity is quite high at €2.3 billion, €850 million in available cash, to which we can add certain lines that have not been drawn. Our RCF, which will mature in 2024 to the tune of €981 million. We also received from our main banks a term loan for €350 million over 2 years in order to help us extend our projects, but also for general purposes and that can be extended through to 2024. We also have an agreement or funding from the European Investment Bank, a loan that will mature in 2030, €120 million to fund our R&D expenditures. Thanks to the bond issuance made last November, we were able to buy back half of the 2020 bond, which will mature in less than a year. So we issued €300 million maturing in 2025. So we have more than enough cash to repay the balance reimburse the balance. And we have no significant big payout to look at in the next 3 years. So we have 90% of our debt, which is at a fixed rate and the average maturity is 3 years. This year, more than in previous years, we will be focusing our attention on cash control. Our gearing ratio has risen up to 74% if we exclude the impact of IFRS 16, but as part of our RCF covenant under our RCF covenant, it is at 63% because as provided for the documentation, we can deduct the IFRS 16 as well as the loan from the French Government to SLN. Our 2020 cash control plans will entail postponing a number of projects, such as the lithium project, Christel will say more about that. We've also introduced modularity in our Gabon mine extension project. So this should make it possible for us to expand production at the mine by staggering the CapEx over the next few years. So we will have an incremental production increase. And of course, our plan is always to maintain control over our OpEx and working capital. And the net income group share is negative, and therefore, we will not be offering to pay out dividends at the next AGM, which will take place in May. Christel, over to you.
Christel Bories: Thank you. Now I'm going to say a few words about operational performance, and I'll start with the main division, mining and metals. In 2019, it accounted for 77% of our revenue, and I'll start with the manganese business unit. As you know, probably the manganese market is really made up by carbon steel, that's 90% of the use of manganese. And carbon steel did well, continued to do well in 2019. Global steel production went up by 3.6%, mostly driven by China, where production increased by 8.3%. The rest of the world is posting somewhat of a decline. So there is a lot of demand. And as a result, all producers were working at full capacity, in particular, the producers that supply the Chinese plants. This led to a slight surplus in manganese ore, namely more significantly at the end of the year, there are stocks in Chinese ports that at end of 2019 represented 4.7 million tonnes, up 1.6 million tonnes since end of 2018, and that is equivalent to approximately 8 weeks of yearly consumption. So the excess supply is still moderate. Let's look at the impact of this on manganese prices. We see that the [indiscernible] can be divided into 2 periods. 2018 ended on, at a high level. We started 2019 also at a high price level. And then if you look at the blue curve, you see a sharp decline in manganese ore prices in the second half of the year. Prices overall have been, dropped over the year quite significantly by 21%. But over Q4, the decline was 34% against the 9 first months of the year. So a very sharp drop at the end of the year and the price moved well below $4 towards the end of the year. Now prices have gone up slightly since then. The most recently published prices show that manganese trades at about $4.5. So higher levels, but still lower than the 2019 average, where the average price was $5.63 per dmtu. The orange line, that's manganese alloy prices, which we produce a lot of, prices here also dropped. In particular, for refined alloys, the price of which went down 7%. This reflects a slowdown in the market, especially a drop in, a slowdown in the automotive industry, which is a big user of alloy. Now let's look at our own performance and production. As I said at the beginning, we had record manganese production at COMILOG, 4.8 million tonnes of ore produced in 2019. That's 10% above the previous year, a new record, therefore. And we plan on producing more than 5 million tonnes in 2020. So COMILOG is continuing to grow. But not only did we produce these volumes on the mine, but we were able to ship them as well. Transport has always been a bottleneck. Railway transport has increased by 17%. Now since we launched our capacity increase in railway renovation plan that started at end of 2016, since then, we've been able to increase traffic by 70%. And that significant progress will continue through in 2020. External sales are up 15% to 3.9 million tonnes because you know that we consume part of our ore in our own manganese alloy plant. Manganese alloys are also seeing production rise. Production went up by 2.8%. However, there was an unfavorable mix effect, owing to difficult market conditions, which I just mentioned. So less refined alloy production that carry higher value add, that's used in the automotive sector, and we sold more commodities. So, as I mentioned, the overall price context was bearish, so a twofold negative effect. Now over to nickel. The market was stable for stainless steel, which, as you know, is the main outlet for nickel. About 70% of all nickel produced is used in steel production, stainless steel. So that market rose by 4.2% in 2019. Most of that growth, again, came from China, growth of 12.2%, a very high rate of growth in China in 2019. So, in this context, primary nickel production grew considerably, significantly. Global primary nickel production stood at about 9% for 2019, mostly driven by NPI, up 30%, both in Indonesia and China. And you see that nickel pig iron accounts today for 40% of global primary nickel production. So, just short of 1 million tonnes out of a total 2.3 million tonnes nickel produced around the world. So that's significant growth. I didn't mention it, but it's no less important. Growth in demand for nickel for batteries, 30% in 2019. Let's talk about the consequences of this price situation. All in all, positive consequences, but we do see extremely high volatility throughout the year. This is mainly due to an announcement of the Indonesian ban Indonesia, starting on the 1st of January 2020, bans exports of its ore to bolster the establishment of plants in Indonesia. The ban was announced in September. This triggered very strong price volatility. There was a speculative effect. Look at the curve in black at hike in nickel prices above $8 in Q3, then followed by a plummet. The market continued to be in deficit in 2019. Considering that there was a big market deficit in the past 2 years, and in spite of the increased nickel production by NPIs, overall global nickel market was in deficit slightly of around 30,000 tonnes. The stocks continue to decline. They declined throughout the year by 14%, standing at 191,000 tonnes at the end of 2019. Ticked upwards since then. Average for the year, slightly up compared to 2018, we take into account the strong variations, $6.31 per pound. At SLN, in 2019, we established, basically, all the prerequisites to carry out the rescue plan. This is a very important point. You remember, there were 3 things to leverage. One, first leverage point, having to do with the new business model to develop mines and export. We obtained, as you remember, last April, authorization to export 4 million tonnes ore that hadn't been used previously from our mines. We also reorganized both the plant and also significantly increased the hours worked at the mine, so that we could deliver these extra exports and significantly increase mine productivity. All of our mines currently working 147 hours. Before the agreement, mines worked 105 hours, one-zero-five. This means working 7 days a week, 21 hours per every 24 hours. The third area for leverage was reduction in energy price. We just partially met our targets here. We managed to renegotiate only one-third of what we targeted with our supplier of power locally. We're still lacking a portion of that target. The potential savings under the rescue plan. We're currently in talks with the local authorities to identify further areas we could leverage. Potentially, this could lead to some additional exports. As I said, all the prerequisites, all the conditions for implementing the rescue plan, almost all the prerequisites have now been met. Things have been established in '19. However, actual implementation of the rescue plan turned out to be somewhat more complicated. We can see this. There are 2 effects, which are contradictory. The first one is, things went very well at 147 hours and the mine exports in spite of major strikes due to the establishment of 147 working hours and among other things. One major mine, Doniambo Thio on the Eastern Coast stayed on strike for 5 months. That's hardly significant. We were hit at the end of 9/12/18 due to a blockade at Kouaoua and other Eastern Coast mine. In spite of those effects, we were able to increase ore productivity by 15%, that's the plus of our business model. In spite of the blockades and the strike, 15% additional production of ore, 32% extra exports. So we're very much on track to reach our 4 million tonnes in 2021. We increased, as you can see, by 32%. There was a start-up in 2019. We're targeting over 2.5 million tonnes in exports of ore in 2020 and 4 million tonnes in 2021. But the blockades and the strike on East Coast had a major impact on inputs for the factory because they're the ones that have the right chemistry and content to feed the production site. So there was a drop in significant drop in plant production by 13%, producing 47,000 tonnes whereas its capacity, nominal capacity is around 55,000, 56,000 tonnes. That had a very significant impact on EBITDA. Here, we can see around €45 million relating to that drop in production. It's the central red box on the screen here. It had an impact on cash costs significantly. So cash cost in 2019 for SLN went up due to this loss in production at the plant in spite of improvement in the other factors, particularly in the mining area, improvements there. The implementation of the new export model providing better exploitation of mines has another positive knock-on effect, very significant. Previously, in the past, we had some of our mines that we didn't consider to be resources or reserves because they couldn't feed the plant. Now that we can export, the mining plan was reviewed. SLN resources, therefore, have been multiplied by 4, a fourfold increase. These are measures that are JORC compliant; therefore, in line with international standards. These are huge resources. We're talking about 1 billion tonnes resources for SLN. Average content 1.85% content which is export grade, 1.85% grade from Doniambo. And we can say, all in all, the SLN currently is one of the biggest players, certainly a major player, top ranking when it comes to global reserves of nickel. Sandouville. We've continued to make progress at the Sandouville plant. The plant continued making losses in 2019, but you saw we already took a step in the right direction in 2018. We stepped this up. We basically doubled production in 2019 versus 2018, divided the losses in half. Cash consumption also halved. We're on the right track to reach breakeven now, which we promised for 2020. Let's talk about mineral sands. Now the market held up pretty well. Demand for TiO2, Pigments and slag were stable and we had stable prices. Now we can say the markets are pretty well balanced. So there are even some price hikes toward the beginning of 2019. Prices remaining pretty good throughout the year, up 10% in 2019 compared to 2018. The zircon market is down by 10%. Zircon market mainly used for ceramics and chemicals. Zircon was hit by a drop in demand in those 2 sectors, particularly in the second half of the year. Supply-demand balance for zircon showing a slight excess. The major producers have regulated their production. So the surpluses are slight inventory surpluses. Prices, therefore, were maintained in 2019 at a relatively high level. You can see this currently above the level in 2018, but we expect that there will be a drop in zircon prices in 2020. Let's talk about our production in Senegal. In the middle section of the screen, we can see operating performance at the mine. We continue to see strong growth there, particularly quantity of mineral sand that we process per hour went up by a further 6% in 2019 compared to 2018. So performance is constantly growing. Production is above what we announced -- is above what we announced to market, but below '18, nonetheless, below 2018. We're reaching an area of the deposit whose content is lower now, like any mine when you begin, and this has been around for a while now. You begin with the richest content portions of the deposit, that's during ramp up. And now we're going to areas of the deposit, whose content is lower -- where the content is lower. The mine is performing well. So impact on production is well contained. The Norway plant. Production is in line with 2018, 189,000 tonnes. Sales slightly down because there was an inventory reduction effect in 2018. This brings me to the High Performance Alloys division. As we said initially, it was an extremely tough year for the High Performance Alloys division. You'll remember, in December 2018, just about a year ago, we announced an update of noncompliance in our quality processes at Aubert & Duval. The 2019 impact was significant, significant in sales. Making our processes compliant at A&D had a knock on effect. Delay in deliveries, strong delays that had an impact on sales to the tune of minus 8 -- minus 19%. The market is stable. We saw no significant impact of Boeing's production problems. We have relatively small exposure to Boeing, and particularly the 737 MAX. So we had no significant impact from Boeing in 2019 and no significant Boeing impact expected in the future. Many clients continue to maintain their trust in us and work closely with us to review quality processes. We continue signing contracts with them. We signed contracts both in aerospace and in energy with major clients in 2019. The compliance process for production processes is ongoing. We've got corrective action plans being implemented. As we announced, all sites are now back to a normal invoicing level as of Q4 2019, except for the Les Ancizes site, which produces some long products and other products for aerospace as well as other industries. For the Les Ancizes, we expect to return to normal in 2020. Considering the cost of dealing with the issues, as Thomas said, we set aside an additional provision ended 2019 of €15 million compared to the provision we'd set aside in our financial statements in the previous year. ERASTEEL. ERASTEEL dropped in sales as well, around 10%, mainly due to the plummeting of the automotive market. ERASTEEL is highly exposed to the automobile market. As you know, it's a market that's been very hard hit, particularly in the second half of 2019. These drops in sales in addition to a squeeze in margin at ERASTEEL, there's an invoicing effect for commodities as a lagging effect there, which led to a margin squeeze quite substantial for ERASTEEL. All in all, this led to a significant drop in earnings for that division. EBITDA is down by €72 million for the division between 2018 and 2019. Negative EBITDA minus €26 million, minus €35 million at Aubert & Duval, minus €37 million at ERASTEEL or A&D, mainly, as I said, due to delivery delays, due to bringing into compliance our processes. The impact is approximately €50 million. There's a cash impact of €160 million as Thomas mentioned. At ERASTEEL, we've got a squeeze effect and we've also got a margin effect, significant impacts. The good news is ERASTEEL has done major work on their working capital requirements. Free cash flow is nearing breakeven, is almost to breakeven in 2019. We didn't have to compensate for cash in spite of the big drop in EBITDA. That's the context, complicated context. So due to the situation, we launched a restructuring plan in-depth restructuring to turn around the division's results. The restructuring plan not only covers quality processes, but all production processes, a complete revamp of management methods, decision-making methods, structuring into 3 business units, complete revamp of quality culture and processes, complete redesign there. Also major efforts being made on operational performance, maintenance and equipment reliability and, of course, strict cash control, which is very important for all of ERAMET and especially important in this division. The in-depth restructuring is going to take time. It's taking somewhat more time than we initially expected because it's in greater depth than we'd initially intended. But we're making progress. As I said, most of the sites have come back to the norm in Q4, and we very much hope to start reaping the benefits of this in-depth restructuring, initial benefits in 2020. Now I'd like to move on to the strategy road map and the strategic transformation that we began that I began just over 2 years ago for this group. This transformation has 2 components, a managerial component, we continue addressing that, launching new ways, very important in terms of speed of decision-making, agility. We very much need to be agile in this time of our people. It's also a strategy road map that you're very familiar with, 3 components: repositioning our least performing assets, growth for our most attractive and profitable businesses and the diversification of our portfolio toward energy transition. On the first point, fixing and repositioning, I mentioned this earlier when talking about operational performance at the SLN rescue plan. 2020 is a key year. This is a year when we're going through a major stage in the X4 plan. We absolutely have to deliver on the goods. The plant must be fed properly. There must be no disturbances. This is a major consideration for SLN this year for the plants to operate normally and to make sure that it's possible to have the mines developed appropriately. Sandouville, I talked about, close to breakeven in 2020. There should be an improvement in the Alloys division, thanks to restructuring, which is underway, I mentioned this. Let's talk about growth, the projects for growth, I mentioned this. Let me also mention that particularly in the mineral sands BU, we're working on expanding the GCO mine with potential for expansion. We're going to be working on debottlenecking of that mine, which we can carry out in 2021. We acquired mining rights, as you know, in Cameroon to prepare for the long term mining rights in that area. Now to come back to some of the projects, specifically, Weda Bay, which goes from the project stage to operations now. The mine started in Q4 of 2019. It began operations quite well, already producing 500,000 tonnes of nickel ore. It will produce over 3 million this year. 900 people employed now at the mine. It's ahead of plan, ahead of target. It's a mine which we operate under a joint venture. ERAMET operates it. We're ahead of our schedule. The NPI plant now. It should start up in the next few weeks. We're expecting a start-up in the first half. There was some delay due to the fact that there were some Chinese employees that were there to operate the start-up. And unfortunately, they weren't able to go back to Indonesia after the Chinese New Year. But we continue to be very confident that we'll start up in the first half of the year, as you know, well ahead of the original schedule, which calls for a start-up at the end of 2020. We should reach 80% nominal capacity by the end of the year. In the longer run, you can see that on the right-hand side of the screen, in the longer run, the mine should increase capacity, reaching very quickly over 6 million tonnes, being able to furnish supply not only the joint venture plant, but also other NPI plants, which are being built in the industrial area of Halmahera. This is an important consideration. So you'll have both the plant for this mine, but the mine will also be feeding into other plants as well, which will mean it's possible to ramp up cash profitability in this joint venture. I'd remind you, there is no capital expenditure by ERAMET in building this plant which is currently in progress. Again talking about Gabon and lithium projects. As we said to you initially, we reviewed scope and calendar for the major project, very agile and creative expansion project for the Moanda mine in Gabon. It's a mine that has a great deal of capacity. It's very rich. It's got another plateau that's being opened currently. We made further investments in 2019. We also saw the momentum already underway, such as the dry treatment at the remote plateau. We're going to go beyond 5 million in production in 2020. Then a much more modular approach will be our new approach to be able to increase this by module, self-sufficient independent module. The first module for opening of the Okouma plateau dry processing to make possible to ramp up production capacity reaching 6 million tonnes, 150 million CapEx over a 2-year period. This is capital expenditure that hasn't yet begun. We will trigger this. We'll begin this CapEx gradually as the cycle requires. We continue refurbishing the Transgabonese railway line in line with the announcements we made previously, always paying very careful attention to local CSR, biodiversity and the environment. Lithium. The lithium project. This is one where, unfortunately, we can't use a modular approach, which we can do in a Brownfield mine. Since this is a plant to be built, Greenfield. We have to say that we've got a different approach. Let me say that the project meets all of our requisites. It's a project, which technically is going well. Progress has been very much in step with our schedule, in line in terms of schedule, in line in terms of spending. The pilot is operational on site. It's highly satisfactory. The pilot fully confirms yields. As expected, these are yields that should enable us to look -- place this future plant in the first curve of cost for lithium. But in terms of the context in Argentina, such as last October, currency controls system also because the Argentine economic situation is complex and the overall economic situation, global world economic situation is complex, so conditions aren't met to actually launch the project, which is why we've decided to put it on a back burner. We're suspending the project until these conditions are met. So we've suspended this. We've cut spending to the bare minimum. And we are managing this very carefully and keeping a close eye on this to see when we'll be able to re-launch the project. The last very important point on our road map. We move on to that one. I'd like to really emphasize as an important point, the central pillar at ERAMET is for us to be a good corporate citizen, make good contribution. CSR is very important to us. It's not just paying lithium service to this. It's extremely important to us. In the list of the top mining and metal companies around the world, for 2 years now, the license to operate has been set as a leading risk factor. And we think that ERAMET's strength is that we have a very ambitious road plan, we have a commitment to communities, we have commitment to the environment, we have a commitment to all the people working for the group and within the group, and we think that we, therefore, have this right to operate. We are ranked 3rd of the 43 reviewed companies. We are right on our road map. Vigeo also, as I mentioned, ranked us 3rd out of 43 mining and metal companies. That panel was made up of those 43 companies in 2019. And I think that this is a good recognition of our efforts in that area. So we have implemented our road map, 112%. We have a number of companies that are ISO certified, that's very important, that's 80% of our site are ISO certified. 80% of our activities are carbon-free, which is very important in an energy-intensive activity. So 87% of the electricity we buy, more precisely, is carbon-free. We've also rehabilitated 20% more sites than we have actually cleared. So that means we have a positive impact on our environment. We reinvest in our communities. We want them to visibly see the benefit of working with us and allowing us in. In conclusion, we are starting 2020 at a time when we know it's going to be a bumpy year. We are committed to applying our road map, but we want to remain agile in the way we implement it. So we're facing an unpredictable beginning of the year, especially with China, the coronavirus. We really stand by our customers and our employees there. China, as you know, is the leading market for manganese or nickel. They're the leading consumers in the world of these minerals. So we want to express our solidarity with China, where most of our major clients are based. But we are also keeping a close eye on the global development of the coronavirus epidemic. For the moment, we felt no impact on our sales. No orders have been canceled, all ships have been offloaded. No significant impact to date. But of course, we're keeping a very close eye on this all. And we are preparing for a potential impact in the months to come. The price of manganese. As you know, we started the year off with lower manganese prices, although the pickup in the commodity price at the end of 2019 did help, but we're still below the average for last year. So cash control, we are implementing a prudent, but, and firm management of our cash. So a very strict cash control and debt control program. We have reviewed the extent and the timeline for our Gabon projects, and we are really keeping close control over the Aubert & Duval issue. So we really want to scrutinize our financials very closely, and we are ready to make any necessary disposals. So 2020 is a significant milestone in terms of our road map, over 5 million tonnes to be produced in Gabon. We want to continue to progress in the SLN rescue plan. There's also the Weda Bay ramp up. So we are fully committed to commit to delivering these important milestones in the strategic road map, which are crucial for the future. Given this context, which is difficult and also thanks to the very significant intrinsic progress made, thanks to the implementation of the road map, we expect 2020 EBITDA to stand close to €400 million. Based on the market, the price, foreign exchange conditions prevalent in January 2020, you know that we can't make any forecasts. These are external factors outside of our control. So based on those same conditions, then EBITDA should be close to €400 million. And that is without factoring in the potential impact of the coronavirus epidemic, which, of course, we cannot foresee. So those are the first results. They are good. We've seen significant operational performance improvements in 2019. The fundamentals are there. They are sound. We've had to face a number of one-off events that had a significant impact and should not occur again in 2020. Given the present context, agility, responsiveness, the skills of our operational teams will be vital to keep us on our long-term course. Thank you. I'd like to thank everyone. And Thomas and the management team that is present as well as myself, we are available for questions. Let's start from questions in the room, please. Please wait for a microphone.
Q - Alain William: Alain William from ODDO BHF, I have a series of questions. First of all, I'd like to understand how you've articulated your 2020 guidance on, 2020 EBITDA, €400 million? Can you separate out the variation in prices from variation in volumes and the contribution of nonmining activities. I think that you mentioned that there are some lines of business that would do better in 2020, for example, alloys and so on. Could you say a bit more about that? Also concerning the High Performance Alloys division, is it fair to say that you've weathered the brunt of the storm that you're coming out of the tunnel. Can you give us a profitability indication? What do you think the profitability in this division will be in not too far distant future? Then net debt, can you tell us more about your deleveraging plan? What is to be expected in 2020 in terms of net debt, a bit of a guidance on CapEx? Or do you think that working capital requirements will go down? And what are your plans for disposals?
Christel Bories: I'll let Thomas say a few words about our guidance, and he'll also talk about net debt. I will say a few words on High Performance Alloys, and in particular, Aubert & Duval. Now within HPA, the biggest impact came from Aubert & Duval, but ERASTEEL also suffered a certain impact. But ERASTEEL did a lot to keep its working capital under control. It restructured. The market was really very difficult for them. For some product lines, there were decreases in the order book of 30%. So U.S. prices also affected most of the financial year. So for ERASTEEL, all of that -- much will depend on recovery in the automotive sector. So, 2019 saw a slowdown in the market, but also a reduction in inventory in the automotive sector. So we got squeezed on both sides as it were -- so there are market conditions that should now allow for progress within ERASTEEL in 2020. Looking at Aubert & Duval, here, we had some major negatives. I would like to say that most of the storm is behind us now. But aside from the Les Ancizes site, the other sites have come back to regular invoicing levels during Q4 2019. So should get back to cruise speed in 2020. And so the delays in cash flow have been absorbed. Thomas said that we had excess inventory worth €80 million, so these are parts -- or products that have not been delivered. Once they're delivered, the cash flow will start to pour back in. And for the entire division, by the end of 2020, all of the sites should be back to normal. As for profitability, normative profitability, just look at previous years before the crisis, 2017, 2018, that is more or less normal level. So that's not accounting for the effect of the crisis. We would like to get back to that for Aubert & Duval in the post quality issue era. Thomas, more comments? He has comments on guidance.
Thomas Devedjian: So I will remind you that the guidance was based on January prices. We will assume that January price is lower than average for -- as compared to 2019, let's assume that they stay constant for the year. There's -- we can't do any better and comparable companies do the same. So the EBITDA guidance incorporates pretty good internal performance across our business lines and, in particular, increases in volumes, over 5 million tonnes produced by COMILOG and increase in nickel or imports rising above 2.5 million tonnes in 2019 and so on. So, we have set targets across all divisions. And I think we've given a lot of guidance already on what we're planning to do to continue increasing productivity. So for Aubert & Duval, we did say that what we are aiming for is a return to normal in 2020. I can't be more precise than that. As for net debt, we will try and bring working capital under control. And I can't say more than that at this stage. There's also CapEx. You need to focus on this. Current CapEx expenditures for 2020 should look much the same as in 2019. We have maintained that kind of level over the years. So we'll try and be disciplined. As for the product-related CapEx, I'm sure that you noted that the lithium project is being postponed, so suspended. So we don't have proper conditions to carry this project forward. So this project will not launch in 2020. So I think that's very important in terms of our net debt guidance. Also for COMILOG and the mine extension in Gabon. Christel said so quite clearly, the project was revamped and has become modular, and we haven't made a final decision on the pace of the deployment or ramp up either. So we don't really know whether we're going to be able to hit the start button this year. So all of that, though, should help us keep our net debt under control. Any more questions from the room? I would like to add one word about lithium. We're not saying that this will bring cost down to 0 in 2020 because our staff is still out there. The project is on hold, it's not slashed altogether. So we have people out there, that's a cost. And over Q1, we also have expenditures related to CapEx commitments made in 2019. So that has to be disbursed in Q1. So expenditure costs will not be 0, but much, much lower than we had originally imagined because we thought the project would have launched. Okay. We can now take questions from the people listening in via webcast. We have about 100 people. Questions will be moderated by [indiscernible] There are many questions that are similar. So we'll take them in groups.
Unidentified Company Representative: Question from [indiscernible] from GoldenTree. When you talk about positive cash flow generated by SLN over H2, are we talking about cash flow after CapEx for 2019. So for 2019, free cash flow after factoring in CapEx? Also concerning SLN, you mentioned other measures to reduce the cash cost, so what may they be?
Christel Bories: I said during the presentation, but I'll say it again, amongst possible measures, there's an increase in amounts exported. We have the capacity. We have huge reserves. So if we can increase the volumes that we export that will necessarily improve productivity and revenue. Then more on the medium term, there is power generation. So a new electricity power generation plant should be built in New Caledonia, and that should bring our power build down. However, that's not in our hands. That will be decided by the government of New Caledonia and that's farther down the road.
Unidentified Company Representative: And here's another question by Christian Georges from Societe Generale along the same lines. Given the price of manganese is below $5 a tonne, do you think that producers, in particular, from South Africa will self-discipline?
Christel Bories: Well, concerning manganese, you saw my earlier chart that tracked the commodity price. There was a sharp decline towards the end of 2019, we reached the bottom of the barrel, $3.5 or so in December, November, December. But when the price goes down below $4, went down below $4, we saw the price go back up because some facilities shut down. So some production facilities shut down. So below $4, there are shutdowns, not quite at $5. You still have some operators that need to shut down when the price falls below $5 because that's their cash cost, but we've always noted this historically when manganese prices drop significantly below 4, then it usually picks up quite quickly right after that because some production facilities shut down.
Unidentified Company Representative: Another question by Christian Georges, Societe Generale. You talked about one-off payments to the Gabonese authorities, is that included, factored into the EBITDA? Or does, do those payments come after EBITDA?
Christel Bories: Yes, after EBITDA. They need to be computed after EBITDA.
Unidentified Company Representative: Another question by Christian Georges. Are you thinking of selling off some assets, for example, in Alloys?
Christel Bories: Well, we're not going to reveal our plans for disposals. Not sure what the speaker means by Alloys, does he mean the High Performance Alloys? You can certainly understand that our top most priority is to improve, and we are progressing well, and should see a return to normal in 2020. So as I was saying, our plan is to return these lines of business to profitability before we make any kind of strategic move. So for Alloys, disposals are not yet our priority.
Unidentified Company Representative: Question from Mark Watts, Banca NE Saying you've put the lithium project on hold, what are the conditions that need to be met for you to restart the project?
Christel Bories: Well, there are several conditions. Number one, of course, the Argentinian context, we're not going to start the project in the current foreign exchange situation where all dollars need to be converted into pesos. It means that we're not sure we'll be able to pay back our debt. So with a cap on foreign exchange transactions, that's a big difficulty. Once that cap is lifted, this may change things. Also, more generally, there's the Argentinian economic context. The clouds really need to part before we can really move forward. And then there's the general economic context. There's the financial structure of ERAMET, but also, as I said, general financial conditions. Should the global economy start to dwindle because of the epidemic or if our own situation becomes more difficult, we won't be able to run such a project. So there are conditions that are related to Argentina and there are those that are related to ERAMET.
Unidentified Analyst: A question from [indiscernible] from Stifel. You talked about TiZir with a 9.5% coupon, the bond maturing in 2022, do you think you will be buying back the bond -- paying back the bond before the date?
Christel Bories: The answer is, no, that is not in our plans. Are there any other questions? No more questions from the web. So looking at participants in the room. Yes?
Unidentified Analyst: A couple of questions. You mentioned your lithium project, the lithium market was really buzzing a year ago, 1.5 years ago, and now the outlook for demand has changed, and that has had an effect on prices. So irrespective of the Argentinian context in your own financial situation, don't you think that the financial aspect of the operation is now being -- is made more difficult?
Christel Bories: Well, first of all, the economics of lithium, commodity price, the level of demand, maybe it took some operators by surprise. It didn't take us by surprise. It was all of these conditions that we're seeing today are things that we had forecast provided for in our plan. The 2019 demand for lithium was higher than what we factored into our own plan. We'd also forecast the drop in prices that we're seeing today. So when we present the business plan, the economics of the project, we said our approach to prices is very conservative. The internal rate of return that we submitted was based on a very conservative price towards the bottom of the price range. We knew that subsidies were about to end. I'm talking about subsidies for electric vehicles in China, we knew that, that would come to an end and it did. We knew that demand for electric cars would decline, which is what happened. So we were not taken by surprise, perhaps the market was, but all of that was factored into the economics of the project. Today's lithium prices, it all depends on spot prices, they fluctuate a lot or the long-term contract prices. So we're looking at prices that are close to 9,000 to 10,000 for lithium carbonate. And our cash cost is set at 3,500. So of course, we have to reimburse the cost of capital, but if the project does start, we'll be in the top quartile in terms of cash cost in the best quarter. Also, a number of projects were stopped, and so you have the brines on the left, which are well positioned and the spodumenes on the right, which are not. So when the prices go down, it's the hard rock projects that have to stop. So we don't see anything in the market that would lead to scrapping the project.
Unidentified Analyst: And the second question is on electricity. I'm not sure that I understand all the factors. Presently, you have hydroelectricity production, it can vary from 1 year to the next. How did you work that out in 2019? And later, you have power plant renovation programs, that's going to have an effect on the medium term, but you also have agreements for a tariff readjustment and are you focusing on the SLN?
Christel Bories: Are you talking about SLN?
Unidentified Analyst: Yes, I am.
Christel Bories: Okay. You didn't mention that. So I'll give you my answer. Regarding the SLN, currently, 80% of our electricity comes from power plant that's oil-fired, we have to change, heavy oil, 20% comes from hydroelectricity dam and the costs are entirely acceptable. Our current supplier, Enercal, charges us very high power prices at the dam and the power plant, they also operate as well, has intrinsic costs that are high, that is why we have high costs there. We got a reduction in the invoice because we're paying for electricity from the dam, which is below cost. So we managed to get part of those gains back.
Unidentified Analyst: So it's a commercial negotiation?
Christel Bories: Yes, negotiation of that contract.
Unidentified Analyst: And is that ongoing?
Christel Bories: Yes.
Unidentified Analyst: Will the price continue to go down?
Christel Bories: No. No, no. There was a renegotiation. We showed you. The gain is what it is, around €8.5 million. It varies depending on the LME prices. If you look at the current prices, you see there's a gain on the order of €8.5 million on the electricity bill, that's about 1/3 of what we'd hoped to obtain on the build. The contract has been in force since the 1st of January.
Unidentified Analyst: What's your clout to get a reduction? You don't have any other source of electricity supply.
Christel Bories: Right. But that's why we're saying, in the medium term, there is going to be the new power plant, cost of electricity will need to be lower. And we'll have to find other cost factors that can be dealt with to cut costs, which, as I said, the main leverage that we can act on quickly, considering the huge reserves in our mines is to export more from our mines, that's what we're doing. Who will, the new Caledonia will be building the plant, power plant, not us.
Unidentified Company Representative: Question from [indiscernible] from the Internet. Could you clarify, are you producing nickel sulfates today used in lithium batteries? Are you doing that production at Sandouville?
Christel Bories: No. At Sandouville, we don't produce nickel sulfates for batteries, we produce nickel chlorides mainly for electronics industry. The major clients are in Japan. The electronics industry, mainly for these salts. So not the battery industry. Sandouville isn't suited to produce the sulfates.
Unidentified Analyst: Do you produce this elsewhere, nickel sulfates?
Christel Bories: No, we don't produce this currently in our plants. All right. I believe, we've come to the end. Philippe, do we have one last question? Do we have time for one last question?
Philippe Gundermann: Yes. Actually 2 questions on Gabon.
Nicolas Montel: Nicolas Montel, 2 questions on Gabon. You have extra transport costs this year from, for your ore. You ramped up 2020 production, are you expecting further additional transport costs, in spite of the fact you're investing quite a bit in the railway link?
Christel Bories: Well, the actual transportation costs, this is because even though there's some, we debottlenecked much of the traffic on the railway link. Well, the costs, because some of the volume, we didn't ship ourselves. We have our own trains and so forth. But some of the additional transportation we had done by a subcontractor that has their own locomotives and cars on that track, they charge us a much higher price than our own costs are. We invested. We've got additional cars, train cars and locomotives that are coming online in 2020, which should make it possible for us to improve the overall shipping costs. There's also timelines improving on their track. We've got an electronic system for train control, or train control system, which should improve train flow, train traffic since it's a single-line track, so we can increase volumes shipped by our own, by ourselves. So it wasn't a problem of transfer on the line, but it's because we had to use subcontractor trains to transport these additional volumes, which were above our objectives.
Nicolas Montel: I have a second question on the early tax payments you had to make, does this mean there's going to be fewer tax payments in 2020 to Gabon?
Christel Bories: Less cash out in taxes to Gabon because in 2019, we paid some of the taxes to Gabon that we'd be needing to pay in 2020.
Christel Bories: Great. Thanks. That was the last question, brings to an end of the presentation of our 2019 results. Thank you very much one and all. We'll see you very soon.